David Chemerow: Thank you. Good morning, and welcome to comScore's investor update call for the first half of 2016. I'm David Chemerow, comScore's Chief Financial Officer, and with me today is our newly appointed Chief Executive Officer, Gian Fulgoni, and Executive Vice Chairman and President, Bill Livek. Before we begin, please allow me to read the following disclaimer regarding our use of forward-looking information. During the course of today's call, as well as during any question-and-answer periods that may follow, representatives of the company may make forward-looking statements within the meaning of US Securities laws regarding future events or performance of the company that involve risks and uncertainties, including without limitation those outlined in the press release and 8-K that preceded this presentation and expectations as to opportunities for comScore including new product line, customers, markets and partnerships, expectations as to the strength of comScore's business including the growth and composition of comScore's customer base and renewal rates, expectations regarding comScore's products including regarding new releases and features, the quality relative to competitors, customer adoption and the potential benefits of particular products, expectations regarding the strategic and economic benefits of certain strategic relationships and initiatives, expectations as to the financial effects of comScore’s recent merger with Rentrak and other strategic transactions and estimates regarding forecast of future financial performance for the remainder of and full-year 2016 including related growth rates, exchange rates and assumptions. Such statements are only predictions based on management's current expectations. Actual events or results could differ materially from those predictions, due to a number of risks and uncertainties, including those identified in the document comScore files from time-to-time with the Securities and Exchange Commission. Those documents specifically include, but are not limited to, comScore's Form 8-K filed earlier today relating to this call, and comScore's Form 10-K for the period ending December 31, 2014, along with subsequently filed Form 10-Qs and the Form S-4 related to the Rentrak acquisition. We caution you not to place undue reliance on any forward-looking statements included in these presentations, which speak only as of today. We do not undertake any obligation to publicly update any forward-looking statements to reflect new information after today's call or to reflect the occurrence of unanticipated events. Now, I will turn the call over to Gian.
Gian Fulgoni: Okay thanks David, so good morning everybody. Certainly appreciate you all joining us today. We want outline the strategic changes that we've made to our executive leadership team, also provide you an update on the independent accounting investigation that our Board initiated earlier this year, and then provide you a non-financial update on comScore’s business. So let me start by saying that the first half of 2016 was not business as usual for the company because of the distraction caused by the investigation. Our Board has recognized that we need and have emergency to regain our business focus. And so we’ve decided that a restructured leadership team that’s fully dedicated to operating the business with only minimal distractions is in the best interest of our investors, our clients and our employees. So, at the unanimous request of our Board, I’ve accepted the role of CEO and I was honored to do so. So let me give you a little background on myself, which I hope will be helpful to you for those of you who don't know me. So along with Magid Abraham, back in 1999 I co-founded comScore and then served as its Executive Chairman for the next 15 years. Before that I was President and CEO of Information Resources, often referred to as IRI for about 17 years. Now IRI is a global leader in providing both the technology and information that the consumer packaged goods industry needs and that's a $1.5 trillion per year industry. And while I was there at IRI we took the company public and grew its annual revenue from about $2 million to $500 million, which is a pretty impressive I think, compounded annual growth rate was about 40%. And by 1996, we had built the company into the largest US market research company. So, I say that because I want to assure you that I’ve got the deep knowledge of both the television and digital industries that comScore competes in as well as the experience that’s needed here to lead the growth of an information technology company such as comScore. As you probably saw in our press release earlier today, the Board initiated some other strategic changes to our Executive Leadership team. So first let me say I’m pleased that Serge Matta who played a vital role in our success to-date will remain on our Board as Executive Vice Chairman. Importantly as part of this day-to-day responsibilities Serge will focus, his really extensive knowledge of both the industry and comScore’s products so that he can advise me in several important areas those being innovation, technology and product development. And I certainly welcome Serge’s contributions in this new role for him. Now also with me today is Bill Livek, comScore’s Executive Vice Chairman and President, I know many of you know Bill, he was previously Executive Vice Chairman and CEO of Rentrak before its merger with comScore earlier this year. And at Rentrak he led the development of the company's next-generation TV audience measurement business. So now, at comScore going forward, Bill will be focusing his strategic and his day-to-day efforts on expansion of our television, cross-platform business and our great movie measurement and analytics businesses. Let me also add that for those of you who don't know Bill, he spent his entire career in the consumer and media measurement industry and obviously because of that has extensive experience that’s very, very valuable to comScore. So looking forward to working with Bill on a day-to-day basis. Then David Chemerow, who you heard from at the top of the call, he's been appointed CFO, now that’s a role he held at Rentrak were he was also COO. And I'm sure that many of you will recall that he served as comScore’s Chief Revenue Officer for the past six months since Rentrak was merged with comScore. Now David's experience covers both CFO and COO positions for both publicly traded and private media and measurement firms over the last 25 years. So I think you can see here that the combination of my experience, Bill’s experience and David's experience is really what this company needs to get back on track. Some other comments on structures. Mel Wesley who previously served as CFO will remain at comScore. Serge, Bill and David will each now will report directly to me as will the other members of our senior leadership team with Mel reporting today David. Another important change that I want to review on, Joan Lewis has been elected Non-Executive Chair of the comScore Board. And before joining our Board back in January of last year, Joan served on the Global Senior Executive Team at Procter & Gamble, the world's - as you know the world’s largest consumer packaging goods company and certainly recognized leader in consumer knowledge, brand building and marketing. In Joan’s 27-year career at Procter culminated seven years as the Senior VP and Officer covering global consumer and market knowledge. So we're delighted to have Joan in the Chair of the comScore Board. So, now for the remainder of our call, we want to provide an update on accounting investigation, we want to give you a non-financial review of our business during the first half of the year. And then finally a commentary on what we expect the remainder of the year will look like and importantly we want to share with you our confidence and excitement about the future of comScore. So with all of that said, let me now turn the call over to David.
David Chemerow: Thank you, Gian. First let me share an update on the status of our accounting investigation. Earlier today, we filed an 8-K detailing the status of the independent investigations being overseen by comScore's audit committee. You can read the additional details in our filing but obviously until our audit committee and board have finalized the investigation until our management and auditors have had time to process that information and until we are once again current with our financial filings we are not in a position to share more details about our results of operations or guidance. As a result, we will not be taking questions on this call and will not be providing any financial guidance on this call. We are all disappointed with the time it's taken to conduct the investigation and the time it will take to review our financial statements in light of the results of the investigation. It’s has been a very complex process and it will still take additional time to complete. We must complete this correctly. I apologize for this disruption which this is causing for you. You can rest assure that this new management team is focused on returning the company to leadership and success. As Gian noted in his opening, the first half of 2016 was not business as usual for us. We estimate that for the first half of 2016 our revenue was in the range of $214 to $218 million with non-monetary revenue in the first of 2016 of approximately $10 million. This was about $20 million under our budget for this period. Please note that this revenue estimate was constructed on the assumption that no changes are required from the accounting investigation. Now this is obviously disappointing and I'd like to outline first some of the challenges we face in the first half of the year. Our recent challenges can be grouped into three categories. First, distractions from the independent accounting investigation that negatively affected our sales efforts and our productivity and product development. Second, challenges with the speed with which we are able to scale our mobile measurement footprint which are key inputs into a variety of products and services. And third, market development, specifically clients, mergers and acquisitions that were out of control. First, supporting an unexpected and highly detailed accounting investigation created substantial discretion for the company and management team that unfortunately had has had a negative impact on our sales and product execution. Significant amounts of time and resources have been required to support the work of independent investigators and this has created necessary but unwelcome organizational distractions. Unfortunately, this occurred just as we were going through the merger integration of Rentrak with comScore which is also a very intensive process adding to this distraction. At Gian noted, our Board has restructured the senior management team to substantially reduce these distractions going forward. The second headwind we faced in the first half of the year was related to the speed with which we were able to scale mobile measurement assets. Getting mobile panel data at scale is difficult and it is critical to the way we build multi-platform and cross-platform products. While we did have momentum in mobile data collection and have an aggressive investment plan, the data is flowing in slower than expected and this has negatively impacted our sales. And finally, in the first half of 2016, we have some misses in our sales pipeline resulting from market development. Specifically, client merger and acquisition activity that were unanticipated and outside our control. In both the local TV and digital space, we saw clients freeze or push out the timing of their investments with us until they had completed mergers and assess the needs of their newly combined companies. These factors impacted our first half and we expect some of them to also continue to impact our second half. We feel confident that the quality of our business and our plan to focus on investment this year will help us restore our growth trajectory in 2017. We expect to increase our investments in selected strategic areas these include increasing the speed of our rollout of mobile panels both in the US and abroad. As the world moves rapidly to more mobile use, larger and more effective panels will increase the value of our products. We will continue to invest in our total home panel, Gian will update you on our progress there. We will also continue to invest in our people, without great people we cannot accomplish our objectives. We continue to feel good about our strategy and where our business is heading. Let me also update you on our liquidity, although still subject to our accounting closing procedures, we had about $150 million of cash and marketable securities on our balance sheet as of June 30, 2016. In addition, one of the attractive features of our business is our strong cash flow from recurring digital TV and movie operations. I will now turn the call back to Gian to share with your successes in the first half.
Gian Fulgoni: Thank you, David. So let me start by describing the way that I see our businesses today and let me stress that our fundamental position in the market remains very strong. So for clarity, we are focused now on three interconnected and global measurement businesses. The first of which is what I call multi-platform digital audience and behavior measurements, so this covers activity online that includes desktop, mobile which in itself include smartphones and tablets. It’s including a measurement of audiences but also the behaviors such as e-commerce activity and the like, all of which represents pretty important information for our client. The second segment that we’re focused on is television, cross-platform and when we say cross-platform we mean the multi-platform digital plus television and then also our strong movie audience measurement business. That's the second segment. The third is what we are calling advertising measurement, this encompasses all screens, it covers media planning, campaign measurement and management, and then measuring the campaign effectiveness. It is a very fast growing segment in total within the industry. So, if you look at these businesses what we’re focused on delivering the metrics that matter as we like to say for making audiences and then advertising more valuable in this new dynamic cross-platform world in which we live. Now if you look at the assets that we bring to bear, they are quite valuable, they include both information and technologies that we believe are unmatched, we have an enviable client roster of over 3,000 clients, a very strong balance sheet as David just covered, and phenomenally talented team of individuals around the world. So, despite challenges in the first half that David outlined, I'm going to tell you that we did see positive momentum among clients as we continue to deliver innovative products and services that measure television, digital media and advertising. So let me detail some of the key wins progress that we have been able to make. Let me start with our digital measurement products and services which are the historic foundation as you know of comScore’s business. So as we've seen in the US over the past several years, the addition of mobile panels to desktop which then enables multi-platform measurement and a de-duplication of audiences have been proven certainly if you look at our US experience and some of the other countries where we have these mobile panels running has proven to be quite a successful step forward. The challenge for us was building scalable mobile panels around the world. And the challenge there was twofold I guess, one is developing the software technology, it captures all the information we want. Second is developing ways to scale these panels into hundreds of thousands instead of tens of thousands. And there the news I think is very encouraging. I’m proud that our engineers are telling me that they’ve developed a technology to measure mobile activity online in ways that weren’t previously possible. We are also about to begin tests of a scalable approach to mobile recruiting that will allow us to do that on a global basis. And we will be sharing more details about these developments with you in the future but again I want to stress the importance of this capability to comScore on a global basis. So, if we look now at our core international markets where we are either the incumbent or in some cases the uncontested leader in digital measurement, we continue to see real strength. These particular countries would include Canada, the UK, Mexico, Spain, India and Brazil. Now, we weren't standing still in the first half of the year and we did significantly enhance and expand our consumer panels over the first half. And just give you a few details on those, we launched mobile panels in Argentina, India, Indonesia, Italy and Mexico and those joint mobile panels that we had recently initiated in France, Germany and Malaysia. But these are all in their early stages, really we haven't been able to commercialize that data as yet, but we will and having that data will allow multiplatform measurement which is if you can imagine highly valued in all of these markets. Interestingly, in many of these markets around the world, the way that the Internet has developed is that consumers really have gone straight to mobile in many cases bypassing the desktop and so mobile becomes central to our ability to measure Internet behavior. So I think you can see why the developments that we've been able to accomplish, the technology that we’ve been able to build and our belief that we can scale these panels easily across the world why that's so important to our future. Next thing I'd like to talk about is that we’ve been building out comScore’s total home panel aggressively and this panel is a next-generation asset that measures all devices in our household. I don't think that there is another service in the world with this capability. So I'm particularly pleased to tell you that we are closing in on a rather ambitious recruitment goal, the Total Home, we've got almost 5,000 households now under measurement and the amount of data that is delivering is staggering. On a daily basis, we’re now seeing activity from about 26,000 daily active devices and if we go to a monthly basis, it’s about 62,000 devices. And those devices would include phones, tablets, game consoles, televisions, over the top boxes and even some wearables. You can imagine that this data was extremely valuable because it gives us visibility into previously unmeasured segments of the market and expands and improves our existing measurement capabilities. So, let me give you a couple of examples of what we’re now able to do. We’re now able to understand how much viewing of television content occurs via screening devices, this is watching on linear TV, pretty important stuff. We can also demonstrate the differences in when and how much TV is being viewed relative to over-the-top services among households, with and without children. Just another example, but really valuable inflow for both buyers and sellers of advertising. So we've got here a unique dataset. I can tell you, the client interest has been very strong and the early information we provided and we’ve successfully sold access to this data feed to multiple Fortune 500 clients and we also see some really attractive opportunities in expanding to new client segments, and as you can imagine, some of those are fuelled by the emerging Internet of Things. And here is a stat that I think you’ll be intrigued by. Gartner says that by 2020, there will be over 26 billion connected devices and we will be measuring the activity that’s occurring on those devices. So, pretty excited as you can tell in the developments that we've got here [indiscernible]. All right, next comment from me, in January, the Media Rating Council, obviously known widely as the MRC accredited our flagship Media Metrix service, making it the first digital content audience measurement service that was ever accredited by the MRC. To leave one of the important things about that is that it validates our sampling approach, which uses non-probability sampling. And I think that’s pretty exciting because I believe we’ll be able to leverage that approach into the databases that we are building in across platform world, very, very important to the future of comScore. Then in April, the audience component of validated Campaign Essentials or as you probably know it, vCE, that's our digital ad campaign rating services, that also received MRC accreditation. So we believe that these two accreditations, which could in rapid succession certainly represent great momentum with respect to both the audit and accreditation process and importantly, it shows our commitment to transparency to disclosure and also operational excellence. Now, on the television side of the business, we’re currently in the process of MRC audits of our television services, and as you can imagine, we will be eventually pursuing a path to accreditation for our cross-platform products that combine both digital and TV measurements. That's all to occur in the future. Couple of comments about accreditation outside the US, where we're also engaged in activities working with trade associations in some individual countries and those being Mexico, France, Spain and the UK. So, with those comments, let me turn now the presentation over to Bill Livek, who wants to discuss our television and movie businesses.
Bill Livek: Thanks a lot, Gian. And first off, I’d like to share with you my excitement about the future of the new comScore, the rationale for the Rentrak comScore merger is actually stronger today than it was just seven months ago when we closed the merger. We have great people and with Gian, a most talented CEO who I look forward to working with, in addition to David Chemerow, who is a talented CFO and a man of high integrity, all of us look forward to working together this team. First, let me talk about our local television business that now serves 682 television stations, covering almost 190 markets, representing 80 television station groups. We have client stations in each of the top 110 markets. In over half the markets we’re in, we have at least four of the top six local television stations and those stations are relying on comScore TV ratings information every day to conduct business off of. comScore Local now accounts 17 of the 20 largest broadcast groups’ to its customers and as impressive as these numbers are, we believe we’re only scratching the surface in our local market opportunity where there is over 2000 television stations as potential. And we continue to win stations as they move away from legacy measurement to our new and innovative services. Advertisers are increasingly demanding improved targeting of their own audiences and with our massive and passive databases, we are uniquely positioned to help the industry execute against their new and demanding targeting needs. We have the local measurement service of the future. So far in 2016, we have expanded our local business with local stations owned by NBC, First, News-Press & Gazette and we signed station group level deals with Waypoint Media, Dispatch and Raycom Media, one of the nation's largest privately owned broadcasters. On the local buy side of the equation, we continue to drive great momentum with local agencies and in the first half of the year, we signed 42 agency contracts. All told, about two-thirds of our local agency clients rely exclusively on comScore local TV, the plan and buy and wonder advertising business every day. Turning to the globe, our global movie measurement business remains unchallenged and continues to grow nicely. In the first half of 2016, we expanded our commercial relationships Sony and Disney as we continue to sign new studios for our new movie analytics products. It’s exciting to see this business continue to grow and grow and be so important in a $35 billion global enterprise and that's what the movie industry is. Back on the television side, with our operator business, we are delivering some previously unannounced wins. We renewed our agreement with Charter and are now providing services to manage their own advertising sales, marketing and programming. We also renewed a multi-year agreement with DISH and today we service their addressable advertising currency. Our client footprint for our products measuring national television has grown in the first half of 2016, with the addition of new and renewal deals with two major broadcast networks, including and beyond to Fox Digital, CBS Sports Network and ESPN. Increasingly, clients are beginning to use comScore information as currency and I'm sure that you've read in recent trade journals about advertising guarantees that you've seen from many television networks. Across the first half of the year, we made significant strides in realizing the industry defining cross-platform product roadmap, which unifies the measurement of television and digital content. And I’d like to remind you that's why comScore and Rentrak came together. We’re executing on that ambition. Our enthusiasm for our cross-platform products remains incredibly strong and we've made progress on several fronts. In 2016, we started reporting on over-the-top video services, which you know is a key input on our cross-platform roadmap. In April, we began reporting on Hulu, including Hulu mobile video and we expect to include mobile YouTube information late in the third quarter of this year. And as promised, we successfully released our first reports from comScore's enhanced television services. Our extended television service revolves around the consumption of TV programming content across linear, time shifted, digital and over-the-top platforms. In the second quarter, we privately released extended TV reports to clients that included 15 months of information, showcasing our new model for cross-platform measurement. Several top networks have already endorsed our work by becoming paying clients of extended TV. Work is well underway with at least three of the leading ad agency holding companies, as well as one of the largest major independent shops to begin employing comScore television as their buying currency in a number of markets for the 2017 local planning and buying cycle. While this is going on, our political team was very successful in working with most of the candidates in primary presidential races. We continue to work with both parties in the general election. Of greater importance is our information continues to be used by the partnerships, representing the super PACs. Committees and candidates across both parties in the Gubernatorial, Senate and house races, all across our great country. Outside the United States, we continue to develop cross-platform products that unify our digital and television measurements through our global strategic partnership with Kantar. The first market that we tackled through this partnership is Spain, where measurement is underway right now. We also are beginning work on our cross-platform measurement in Brazil and we should see the fruits of that labor in 2017. comScore is also a finalist in digital and cross-platform tenders in a number of markets around the world. Decisions on these opportunities should be rendered later in the second half of 2016. Before I turn the call back over to Gian, I just like to say that the new comScore is a machine for product invention. We told you when we closed our merger that our mission is to create the new dynamic for our cross-platform world and you can rest assured that we are doing just that today. Thank you and now I would like to turn the call back over to Gian.
Gian Fulgoni: Thanks, Bill. Great comments. So on momentum in cross-platform products, as I mentioned in my earlier comments extends to our advertising business. So here, we’ve been focused on services that are differentiated and which provide unique value to both the buyers and the sellers of advertising. So we’re focusing here now in 2016 on three core areas and let me just take a moment to define them for you. First, products and services that deliver on both single and cross-platform campaign management and measurement. Second is our suite of advertising products. Now, these help brands and advertisers understand the effectiveness and the ROI that they are getting from their investment in advertising campaigns. And then the third area, which might be somewhat new to you are solutions that provide sophisticated audience activation. I’ll come back to talking about that in more detail in a moment. Let's talk about our initial work in delivering cross-platform campaign measurement. This has undoubtedly generated tremendous interest from paying clients. It's a very early stage market, but clearly there is real demand for this kind of measurement as advertisers spend more money in well integrated cross-platform campaigns and clearly they need to understand how these campaigns are working within and across television and digital platforms. So we’ve been able to run multiple analyses of campaigns in 2016 and we’ve got multiple trials scheduled with major brands in the coming months. We also executed our first over-the-top campaign studies for leading over-the-top services. All very encouraging. Second point I want to make here is that we've made some significant investments this year already in building out comScore Lift solutions as we call them and these help marketing agencies, media companies, et cetera prove the effectiveness of their advertising campaigns and we measure changes that the campaigns are driving in either attitude towards the brand or changes in actual consumer behavior and that can include measuring the impact of ads on sales, whether those sales are occurring online or in physical stores. So we can help clients look at their complete campaigns from digital to TV to understand which particular platforms are driving the ultimate outcomes of success, which then helps them better optimize the design of their media plans going forward, pretty important stuff. Now, in some of these situations and cases, our Lift solution actually -- delivered in site to other campaigns is still running, which then allows clients to not only understand what is working, but optimize it as well before the campaign has run its course, again pretty important stuff. And we think that our solutions are differentiated because of their ability to tie clean validated digital impressions from our vCE service and our TV ad exposure management to outcomes such as sales, using a variety of proprietary attribution methodologies that we’ve developed. So, think of all of this as basically providing an end-to-end capability, tightly integrated from planning to management of the campaign execution, to measurement of the impact of a campaign. Again, I think it’s a pretty powerful capability. Let me turn now to activation, which is a relatively new focus for us, but one which we're pretty excited about. And what it simply means is that we help our clients identify and reach their accustomed target audiences. Again, this business is in its early stages, but we're pretty excited about its potential as I hope you can tell from my comments. Now, one of the drivers of the need for this activation capability is that advertising is increasingly moving to audience targeting, whether you want to think of digital or whether you want to think of television and we want to be right in the middle of that transition. So these comScore activation solutions combine proprietary comScore data with other databases to identify and build out precise audience targets and we think that by helping our clients build more granular and therefore more powerful targets, we’re addressing a concrete business need and driving stronger advertising results for our clients. Let me give you a couple of examples. A brand they want to extend the reach of a TV campaign to digital only code cutters, we can provide that information to do that quite precisely. An advertiser might want to reach consumers on digital platforms who saw competitive ads on TV. There are dozens of targeted ad solutions like these that we can now offer, many of them uniquely. So I hope you can see the cross-platform measurement model we’ve built is beginning to drive activity across a range of new and existing products of comScore and they all leverage the capabilities that Rentrak brought to comScore along with the digital and television capabilities that comScore already had in place. So let me wrap up this update. First of all, let me say I hope it’s clear that while the first half of 2016 delivered challenges for us, it’s also brought some very encouraging successes. And I’m confident in the signs we’re seeing in the market and in the communication we’re having with our clients that confirms our strategic vision. We want to now accelerate our development plan. I believe we've got tremendous assets, as I said earlier, and a great team. Also, when I’ve spoken to our senior leaders already, I've been clear about the priorities we have to pursue and the clarity of focus we must have. And I think that I'm confident at this point that our senior people understand the importance of that and are following our direction in that regard. So bottom line, 2016 is a year of learning and also of investment for comScore. We’re learning how to best combine two high performing companies with a compelling vision that are coming together in a common shared culture. We’re also learning how to merge our separate expertise in digital and television into shared expertise in cross-platform measurement that I believe is unparalleled. So we've been making, I think, some substantial progress in fulfilling the vision and we view 2016 as a year in which we make decisions and investments that will deliver significant competitive advantages and growth in the years ahead. Now, I'm sure that many of you may be wondering why I decided to take on this new assignment. Let me try and give you the reasons, there are several of them. First of all, between Bill, David and me, we’re significant shareholders of comScore and we each believe that this company represents enormous value and what we’re prepared to do to do what it takes to unleash the value this year. I hope you find that reassuring. We are planning a product day in late October and we will provide you the details of that shortly. So let me also show you that we leverage our experience, which as I hope you can see is extensive and our capabilities and the company's assets to do our utmost to get you an attractive return from your investment in our company. I hope you’ve heard the confidence we have in comScore during our comments today. And let me thank you for your trust and your continued investment in our company. And I look forward to seeing you at our full product day and speaking with all of you soon. Thanks again for your interest and support.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.